Luke Wyse: Good morning. It's 9:30 in Dallas, and we're excited to chat with you this morning. Thank you for your interest in Triumph, and thanks for taking the time to join us to discuss our Fourth Quarter and Full Year 2024 Results. With that, let's get to business. Aaron's letter last evening discussed the quarter's results and introduced a new segment. We are excited about many things happening at Triumph now but probably most excited about the opportunities we see developing from the density established in our network. We are helping America's truckers get paid with greater speed, accuracy and transparency than was ever possible before and we're allowing our partners to benefit from our transportation technology investments. That quarterly shareholder letter published last evening and our quarterly results will form the basis of our call today. However, before we get started, I would like to remind you that this conversation may include forward-looking statements. Those statements are subject to risks and uncertainties that could cause actual and anticipated results to differ. The company undertakes no obligation to publicly revise any forward-looking statement. For details please refer to the Safe Harbor statement in our shareholder letter published last evening. All comments made during today's call are subject to that Safe Harbor statement. With that, I'd like to turn the call over to Aaron for a welcome and to kick off our Q&A. Aaron?
Aaron Graft: Thank you, Luke. And thank you all for joining us today. As always, I hope that you found the shareholder letter valuable, both in looking back at 2024 and also looking ahead into the future. I am sure some of our announcements in the letter will generate many questions so we will get to those quickly. But before I do, I want to say just a couple of things. Touching 50% of all brokered freight transactions in the United States is a big deal. It's worth celebrating. Eclipsing over $100 billion in total payments since we created our payment segment is also a milestone worth celebrating. And it's those milestones and all that went into doing those things that has paved the way for where we go from here. It puts us in a position to help the freight industry transact confidently, that is our brand promise. And then we know that if we do that with ever improving offerings then our investors are going to be rewarded, our team members will share in this success because our customers will be delighted, and that's the work we're excited to do. With that, we look forward to taking your questions.
Operator: [Operator Instructions] Our first question will come from Timothy Switzer with KBW.
Timothy Switzer: Now that we have entered 2025 and had a line of sight into which partners will be online this year, how much volume they will bring, are you able to provide some kind of quantified ranges around what payment volume will look like towards the end of the year and the associated pull through to revenue on that? Or perhaps like a broad range on what the growth inflection looks like in the back half of the year, particularly with CHRW coming online?
Melissa Forman: I think what is the most important metric to keep measuring and and keep track of for the payments volume growth success is that of the market share. And so as we said in the letter, we've eclipsed the 50% market share goalpost and now we've moved that out for ourselves. And our goals at the end of this year is to be at 60% to 65% of market share and we have a clear line of sight into that. The other metric to look at is to continue to watch EBITDA performance and improvement as we will continue to improve those metrics throughout the year as well. Certainly, revenue associated with some newer deals will be in the second half of the year and new products. So yes you'll look for that to be weighted there but again, even improvement and 60% to 65% market share. Anything you want to add to that, Aaron?
Aaron Graft: I think it's a great question. Melissa hit on the things that we would call knowable. These are things we have enough history to predict and say with specificity. But I think what's embedded in your question and it's a question, frankly, I'm interested to see. It was just yesterday that our partner, C.H. Robinson actually began the rollout of this marketing campaign of Robinson Financial, which we're tremendously excited to support behind the scenes, because that's what we are as it relates to the market behind the scenes. And so they're reaching out to thousands of carriers on a rolling basis. Now what the pull through will look like from that in adding new factoring-as-a-service customers to Robinson Financial, which we support behind the scenes and the pull through will look like on adding new LoadPay customers is impossible to tell you. What I can tell you this morning is in the the Slack channels that we all monitor in real time with just what went out yesterday, there has been an an explosion of activity but you can't build a trend line off that. So I've said and I've tried to make it clear the way we structured our deal with our partner we want Robinson to be exceptionally successful in this. And for them success means improving the carrier experience and of course that means monetizing it. But the way our deal with them works is we chose to take our opportunity the financial incentive for what we're doing on the back end. We're going to see as we grow revenue through this density gain and FaaS and LoadPay and the things we're doing around it, you'll start to see that in the back half of the year but it is way too early to tell you what that's going to do to EBITDA margin or revenue growth, we just don't know. What I would point out to you is despite the fact that we're making all the investments required to do those things right now our EBITDA margin is still improving. So we're trying to be really thoughtful about this. And we're really excited about the future and those two things have to live together, that's the tension between being profitable in the present and preparing for an exciting future. So that's how we think about it. I hope that gives you the color you're looking for.
Timothy Switzer: And Aaron also your comments in the shareholder letter, which is really helpful, it's great, about how AI and machine learning models that kind of reduce the value of network transactions for factors. Are you seeing any other areas where AI or other technology advances are maybe impacting your value proposition elsewhere or like the moat you have in some of your products?
Aaron Graft: And so just let me unpack that a little more, and I know others will touch on this and so I don't want to put it all out there now, but let me unpack that a little bit more just so you're clear on. There's two forces that are at work when we talk about the monetization and the adoption of network transactions. And those two forces were things I didn't fully understand in Q3 of 2023 or even beyond when we conceptualize this idea that we need to connect payors and payees, and that thesis is entirely right. But the specifics of how we're going to monetize this was precisely wrong but directionally correct. Like the value was there but there's two ways in which the value is migrating from where we thought we would realize it to another area. So the first thing, and and just before we get into AI and ML. One of the things we've learned and like mea culpa we we want you to understand this is we built a pipe of structured data about this big. And when you look at the legacy software that most factors use they can ingest it in a pipe about that big. And that's just the technical debt that happens when you use an off-the-shelf product that's several years old even if you've built technology around it. And dealing with technical debt that's a problem all companies who touch technology deal with and asking factors to modify their product, a core operating system they don't even totally control in a three year down market was a tall ask. So if the pipe that they can ingest the data we give them is not as big then the value proposition to them is different. So that's one thing, that's a learning. That's what we've learned from this that network transactions are valuable just not quite as valuable as we thought. The second piece, which is more what we've lived on our side of the transaction is this concept of what can a model trained on all of our historical data do without a human. And three year or in 2023 I did not see it, it has been remarkable to see. We are purchasing 75% of our invoices for our small carriers and that's going to move upstream too with what's coming without a human being ever touching it before funding, that did not exist in 2023 and certainly not before that. And that we learned is structured data is helpful in that, there's lots of ways it's helpful. But that the model is so good that even when it doesn't have structured data, it can make very accurate, better-than-human accurate decisions. And so as we extrapolate broadly to what we're working on, and we haven't talked about this a bunch with you all, but what Melissa and her team are working on is what we call touch-free processing. So I know people don't live this every day. But if you just visualize it, if on the broker side and that's the payor, that's the person who owes the money. If our audit product and our audit and payment feature put together can process an invoice and tell and decide for the broker based on rules that they set that that invoice is appropriate for payment without a human being touching it, the audit system is -- the audit process goes from days to seconds. On the payee side, if the instant decision model with all that we built into it can make -- look at historical predictions for this carrier, this account debtor and these things and in seconds decide this is probably a good invoice and then those two systems can touch each other and say, if we present this invoice to you in this way, would it be approved? And the system on the other side says, yes, it would be approved, that's a quantum leap forward. That is AI and ML changing how network transactions work, but it's still that very thing, it is a network, but the technology has moved so far so fast that, yes, it's changing. I don't know how to speak to our moat, so to speak. I think we have the most sophisticated product in the market on the factoring side. I think we -- our product on the broker side is highly sophisticated and we have the integrations, we have the customer trust to go do this. So the world is changing. It changed from what I thought a few years ago and we try to lay that out in the letter so investors can understand. And you can also understand how we're working to be part of the change and not disintermediated by it.
Timothy Switzer: Really appreciate the in-depth answer there. And if I could get one…
Aaron Graft: I think we need to go to the next person in the queue and we'll come back. If we don't hit them all, Tim, we'll certainly come back and answer it.
Operator: Our next question will come from Matt Olney with Stephens.
Matt Olney: want to dig more into the Intelligence segment that you discussed in the letter. I'm curious within this new segment kind of what's the go-to-market strategy for this initiative? Who are the clients you're going to be targeting, are they existing or new clients? And how will you target these customers? And just trying to get a better idea of kinda what the revenue ramp could look like for this segment over the next two years?
Aaron Graft: Yes, totally understand that question, Matt. So the customers that we are going to start with are largely the 560 TriumphPay customers that we currently serve. Now it will expand beyond that. But I've said to you before the top 1,000 freight brokers control 90% of the $110 billion brokered truckload market. So the people we will be taking that's out to will either already be a Triumph customer or they will certainly know our name, because we touch everybody in brokered -- frankly, in all of truckload. The reason we're doing it is because some of our largest customers have said to us, hey, there are some data things we would like to get from you. And we would like to get it from you, because number one, you are not going to end up being a competitor. You are a bank, you are not a brokerage, you don't move freight. And some of the data providers in this industry have -- they don't have neutrality but you have neutrality. And so we trust you with our data. We would like for you to give it back to us in a way that helps us run our business more efficiently. And the second thing is, we would like to consume this data from you because you have more of it than anyone. You pay more truckers than anyone. Everyone knows that, they see that, they see what we touch. And then, we would like to consume this data from you, because you have precision in your data. You actually have what was paid, not what was asked, not what was claimed, not surveys, like payments don't lie. And so for those three reasons, which I put in the letter, that is why the customers came to us. So what do we do with that? Well, we already have the data. I mean, not all of the data but we have a lot of data in what we ingest because of the the services we provide to our customers. In order to be transmitting hundred of millions of dollars a day, you need real actionable data and you better understand that data and we do that. And so now we are layering on top of what that data set we have, technology, such as the ISO acquisition, which takes the data they have, data we have and creates quantitative scorecards that we can give back to our customers and that they can give to their customers so everyone can have clarity on how is a carrier performing. And for a broker that's a big thing. They want to know how a carrier's performing for their own benefit and they also want to know what is their scorecard for how are they doing for their shippers. Again, it's the data we already have. You're just layering the technology and some of the decisioning things that have been built on top of it. So our gross margin coming out of the gate in our Intelligence segment is well over 90%, because we're not buying that data from anyone, it's our data. We do a ton of work to to get it because we have to in our factoring and payment segment. So it's taking what we already have and curating it and anonymizing it and positioning it in a way that our customers who already use us for other products can make their businesses better, that's why we did it. It was an ask of an existing customer base. Surely, this will allow us to expand in brokerage. And eventually, we may sell this to people who are not in transportation for other reasons. But today our focus is what can we do to make brokers better and give more transparency and get carriers paid more quickly, that's who we're serving, that's who this segment was built for.
Matt Olney: Aaron, just to follow-up on that, as far as the revenue kind ramp within this segment. Is that something we should be -- expect anything material in 2025 or is this something that may not ramp until the next few years?
Aaron Graft: The multimillion dollar question. I mean, I'm always about, it should happen now, but let's just look at things. We have set out, let's look at it, like, in a -- the broader context. What we are doing right now as a company is we have a core community bank that we run that is designed to be run with stability and efficiency and we have a pretty mature factoring business. And we take all of the the revenue that we generate from those two businesses and increasingly from our payments business. And our goal is for our transportation related businesses to generate over $1 billion in revenue. By what time, I can't tell you precisely. Today, if you just use exit 2024 run rate metrics, we generate $210 million. So 21% of our way to our goal. And $150 million of that on a run rate basis comes from factoring, $60 million of it on a run rate basis comes from payments and almost none of it comes from Intelligence. And if you look at that $1 billion, you can kind of divide it into thirds. We could be more precise but I'm not going to be more precise on that. The factoring, there's $300 million to $400 million market opportunity payments is actually bigger than we thought when you add LoadPay in even though we were wrong on exactly what network transactions would be. I think payments has grown because we figured out how to pay carriers and monetize that float and data -- and the exchange fees. And then that leaves us with this Intelligence segment, which is a whole lot of blue ocean there, right, that we only generate less than $1 million of revenue through some existing partnerships that needs to grow. I think you will see revenue in 2025 grow but of course the denominator over which it's growing is very small. It won't be meaningful in 2025 and I would hope towards the back end of 2026 it will. The key to understand is the building blocks are already here. We just have to make sure what we take to the market is built in a way -- like our customers have very high expectations of us, and we are not going to roll out a product that's half built, because we don't think that's the right thing to do. And even if it makes me get on earnings calls and explain why is this growth slow, why is this growth not here today, you already have the customers, the answer is because we're not going to do it until we can do it. And we're not going to do it at scale until we can do it with excellence.
Operator: Our next question will come from Joe Yanchunis with Raymond James.
Joe Yanchunis: So in your shareholder letter, you touched on how noninterest expenses are expected to increase. Now how should we think about the pace of increase in 2025? And can you provide additional color on some of the internal investments you're going to be making?
W. Brad Voss: So Joe, as you know, we evolved too fast to really provide explicit guidance beyond the next quarter. But my current expectation is that there will be very modest growth from that $99 million level that we called out for Q1, call it, low to mid-single digits over the course of the year, barring investments and things that we're not looking at just yet. As far as what brings -- what comprises those investments, some of it is just natural resets. We've got compensation resets that happen every first quarter. For the first -- for the last two quarters of 2024, we've been accruing bonuses at less than our full target because we didn't hit all of our financial metrics that we wanted to hit in 2024 and our bonus pool reflects that. We'll reset that to 100% because we do intend to hit those numbers this year. We've also got just general inflation in our healthcare costs and things like that. So as far as the -- what's driving the increase, bulk of it is compensation. It does include layering in ISO for a full quarter. We closed on that deal in December. And we do have some investments that we've made in both our Intelligence segment. We will continue to make investments there as well as just the operational resources that will be required to ramp up what we're doing in Factoring-as-a-Service and in LoadPay. To the extent that, that volume comes on faster or slower we'll adjust accordingly, but that's where those dollars are going.
Aaron Graft: It's -- I mean, 100% agree with Brad on that. One thing that Joe just -- that you can watch for is with the instant decision model and the things like -- just for factoring, for example, you should see -- assuming the market does not go down again, you should see and we should be held accountable for growing factoring market share. No questions, no excuses, we will do that organically through FAS. And what you really need to see and what I'm watching for and what I firmly believe will happen is the gearing ratio as we do that is going to be better because we can use all this technology we built to grow volumes without adding people expenses. Now there will always be some but our margins should expand. That's why our operating margin should expand. Of course, it will expand if we get a tailwind in the market but those dollars were spent to build technology to allow us to grow volume without having to add people every time we grow, that's something I would watch for. That's something I'm watching for and something I'll be reporting back to you on is we need to be demonstrate efficiency as we grow.
Joe Yanchunis: And then one more for me here. How should we think about increasing adoption of your Factoring-as-a-Service product and how will that adoption translate to revenue? Just any sort of type of unit economics you can provide would be helpful.
Aaron Graft: So Factoring-as-a-Service, it's starting with large brokers in the market with C.H. Robinson. I don't think you'll see another announcement for a few months. But after that, I think you will see other large brokers follow in this space because they have the best marketing funnel, no question. And they care about the carrier relationship and payments touches the carrier relationship. I think you may see other people who are not in the brokerage industry want to use our platform, that will be later in the year. In each of those scenarios, there's a negotiation about what the unit economics net to Triumph look like, right? It depends on a variety of factors. You can look at it a lot of different ways, but the average factoring invoice today on an average, let's just say, for a small carrier, $1,600 invoice, is going to be roughly $35 of revenue. And then from that, you got to figure out how to pay your sales people, you got to fund it, you got to all the things you have to do, that's what you're dividing up. Now you're doing that, hopefully, thousands and then tens of thousands and then hundreds of thousands and then millions of times. But the thing about FAS for us is that, and I wrote about this in the letter, like we have built the factory and it has been built at no small cost, a tremendous amount of investment and we have a tremendous amount of talented people. And I think about like Melissa Free who even runs that specific business for her. Like I known her in this business for 14 years and watching her career progression and all the people she leads, like those investments are made. And the reason you build a factory and you build it big and you invest in all the ways that things should move is because you expect that the opportunity is going to get calm to push a lot of volume through it. And as volume increases, if we hold head count steady, which personnel expense is the largest expense in a factoring business at roughly 60% of it, you're going to see operating margin improve and you're going to see revenue grow and you're going to see volume grow. And if the market gets back to normal whatever we want to define that to be, but it needs to still move in favor of the carriers, no question, then that's exciting for us. It may not show up until the back half of this year. We may suck wind in the first two quarters, I don't know, but that's what we're doing. C.H. Robinson will not be the only FaaS customer, they'll be the only one through the first half of the year and we're going to make sure we do it amazingly well and we're going to learn from what we did. And then when we do it again, we're just going to make sure we serve our customers' needs in that regard. And our customer is whoever the FaaS provider is, that's their product, they're taking to the market. We are invisible and behind the scenes and entirely content to be so. So that's -- I don't know if that gives you exactly what you're looking for but that's directionally how we're thinking.
Melissa Forman: I would add one thing to that, Aaron. And that's when we have control of the factory, right, the technology and we talk about the pipe we build and the pipe that can receive the data, with FAS, we are in control of that. So we were able to take network transactions and push them out to the FAS clients so that it can be useful in their models as well. So it is serving multiple participants but it's also serving the network to allow us to continue to grow density in those transactions that can be leveraged across the Triumph enterprise.
Operator: Our next question will come from Gary Tenner with D.A. Davidson.
Gary Tenner: First, I had a follow-up on your comments, Aaron, on the Intelligence segment from the prior question. In the past, you've talked about finding ways to monetize data. It sounds like, though, from what you were saying, this is more of a pull from clients and maybe a departure from what you had thought about in the past. Is that accurate so kind of the first step in monetization of the data?
Aaron Graft: Yes, I think we had ideas. And if I go back to the acquisition of HubTran in 2021 and when we stepped into this space, we also had ideas and we had the ideas about the network. And one of the learnings from that, and I think the network and open loop and all of that is true and right and good. One of the things we learned is figure out exactly what your customers' pain points are not what you think sitting afar, I mean, hopefully, we don't sit in an ivory tower, it's not our goal, but we don't move freight, we have ideas on how to create efficiencies. But the way to do this is tell us what you need, what would be valuable to you because our job is to provide your service. And so we started with ideas but that was very wet cement and then our customers shape that for us and said, no, this is what we care about, this is what I would like to know, this is a problem for me that I'm struggling to figure out how to solve. And so great, then let us see what we can do to be specifically responsive to what it is that you would like -- that what it is you would want from us.
Gary Tenner: And then a follow-up, just in terms of LoadPay, you talked about Factoring-as-a-Service, no announcements near term, obviously, CHRW, the big focus there right now. Will LoadPay, will that broader rollout follow a similar pace as what you're doing with Factoring-as-a-Service?
Aaron Graft: Todd, do you want to take that first?
Todd Ritterbusch: Of course, we're using the same channels to try to sell LoadPay as we are to sell Factoring-as-a-Service. And the most -- the greatest value for the client comes from when you put those two things together. So the best use case here is to have a client that accepts Factoring-as-a-Service and then has all of their carriers using LoadPay. So you need to think about that as our strategy, first and foremost, but we do have a lot of other channels that we can use to sell LoadPay as well and we're going to explore them in parallel.
Aaron Graft: That's -- to give you specifics, Gary, I mean, we have 8,000 plus customers inside of our factoring business and that represents more than 8,000 trucks because some of those customers have five, 10, 15 trucks. And eventually an enterprise product is in the works, it won't be rolled out in the short term. And so we hope to be able to serve customers who have 200 trucks and parent child accounts, there's a lot of things that have gone into our thinking about our long term road map, and we had a great team working on that. So you've got that, I wouldn't call them a captive audience, but an audience, we touch 3 times a week. Then you have our select carriers, which on the active select carrier basis in TriumphPay, these are nonfactor carriers who take QuickPays from all TriumphPay enabled brokers is over, what, 20,000. So that's -- between those two right there, you have more than 10% of all at carriers. Then you take C.H. Robinson who touches thousands and thousands and thousands of carriers and pays them in their own QuickPay program and all the things they do is the market's leading broker, that's another huge [pond to fishing] and there's crossover. So the ability to reach out and get this in people's hands, I don't know that -- and I think I can say, I do not think any virtual wallet that has ever existed in transportation has a better chance of success than LoadPay. I just don't think so. And it sits on the rails of a bank so we don't need -- we don't have to use Banking-as-a-Service. Like it lives in our accounts, we control the entire experience to make sure it's excellent. And lastly, we built it not as a fuel card and it's not that it's so much bigger than that and we built it in a way that it is friendly towards the cards that are out there. We let our customers move the money to where they want to move it to, when they want to move it to. And so you add all that together and that makes me very excited about what we're going to go do with LoadPay and the ability to instantly fund 24/7 because we use sub-ledgered accounts inside of Triumph, I mean, that's really hard for someone else to imitate, right, that's really, really hard. And there's features, enhancements and all the things we're going to add to it. And so this is not something we're doing as a hobby, like this is a core part of going from moving the money from the broker to the carrier, the broker to the factor to the carrier. This is how we make sure carriers can receive that money instantly and use it instantly and we get to expand our market. And that, for us, is really exciting.
Operator: [Operator Instructions] Our next question will come from Hal Goetsch with B. Riley.
Hal Goetsch: I got a quick question on maybe KPIs on LoadPay. If you had a guess, like what it'd be good, better, best spend levels for someone on this over the long run? What would be your guess on this? Because we can look at other public companies that have a product that's like this but it looks like the dollars are going to be -- could be a lot bigger on a low bit -- there's bigger dollars involved. When someone fills up their tank and spends on a debit card, it's like $60. When the trucker build a tank, it's a lot more. A lot more dollars in the trucking business than there is, maybe their income, they spend a lot more than they make probably. So -- right?
Todd Ritterbusch: So when you think about the funds flowing into the LoadPay account, one of the things that can happen is through the integration with fuel card, you can end up having -- capturing all that fuel spend as part of the LoadPay spend. You also have the debit card feature, which is capturing all the other spend of the trucker. And then there is oftentimes the need for money to be transferred out of the LoadPay account or other cash needs. And so that's part of the value proposition as well. So basically, you capture eventually 100% of the spend of that particular carrier through this process if you do it right.
Aaron Graft: And Todd, speak to the -- what we've been talking about is how the spin like is -- the exchange rate -- the changes depending upon where money is spent, because I think investors could know that…
Todd Ritterbusch: So what we're finding so far, and this is still early days, is that these LoadPay account holders are using their debit card very actively. And so when they use their debit cards actively, the question is, how are they using it, how does that translate into interchange? So when you think about debit card interchange, it tends to be very low for a consumer. It's much higher for business transactions. And among business transactions, you can have some that are more lucrative than others. For us, so far this month in January, the average interchange rate is about 1.9%. So if they're using that debit card, let's say, 50 times a month and the average per spend or per item spend is $80, you multiply that by about 1.9% you can get a sense for what's happening already with very like new debit card accounts. These aren't even fully mature yet. So we -- that's an example of a single debit card on a single LoadPay account. Now imagine you take a LoadPay account, you have multiple cards in that account, one for each truck. And you can see how that then multiplies further and it can become very large.
Hal Goetsch: So when you guys say accounts, it could be multiple cards, it could be a small firm, it could be on one account?
W. Brad Voss: A single unit owner operator could have one card.
Aaron Graft: But it’s a 10 unit would have 10 -- one company but that have 10 active users.
W. Brad Voss: At least 10, because once you get cards…
Hal Goetsch: Are you going to report active users or accounts, I mean are they one and the same?
W. Brad Voss: Not the same. Yes, we can report both, if you like.
Aaron Graft: Sure. We can report all of it, Brad, just report it. I think active users -- look our -- we want investors to be treated the way we would want to be treated if the rules were reversed, telling you that there's an account but it's an inactive account that doesn't help you. I think what we need to tell you is who the active users are. So you can see really what are we monetizing it at per unit economics on active users. So I think that's the right thing to tell you.
Operator: Our next question will come from Joe Yanchunis with Raymond James.
Joe Yanchunis: We do have a couple of follow-up questions. Just to piggyback on some of the LoadPay questions that have been asked. You seem to have this large distribution channel. Is there any way to handicap what you would view as a success for either account or active user adoption kind of exiting 2025? Just trying to appreciate the opportunity over, say, the near to intermediate term?
Aaron Graft: I would say between 5,000 and 10,000, that's a broad band. If I got more narrow, people on the pier would be tackling me. But I think that -- I would view that as a really good start, somewhere in that band.
Joe Yanchunis: Then just one more for me here. You discussed about increasing market share in your factoring business, which I believe is currently around 15%. How quickly do you think you'll be able to raise your market share? Is something like 100 basis points a year achievable in your view?
Aaron Graft: I think you can get -- yes, 1% for sure. It's interesting, Joe, you made me think of something because how we think about growing market share. So as Triumph just stayed -- it's -- say we're going to stay at 15% market share with the open loop network because we thought that was what people cared about, we didn't realize the bigger problem was the technology integration in the early days. We just enabled one company to grow at the expense of a bunch of others. I mean that's not going to happen anymore. So -- because it's not good for the industry, it's not good for everyone. I firmly believe it has not been proven. I mean it's not that C.H. Robinson is the first freight broker to get into factory. I mean four of the top 10 factoring companies were started by freight brokers but they are the first freight broker of their size with their carrier base to say we want to be part of carrier payments, and we want to do it at scale with cutting edge technology. That -- their ability to drive adoption has yet to be proven. Of course, we're biased and rooting for them to win in a major way and I think -- because that helps them win on multiple fronts. But you also have to think about like what is the market opportunity out there. And so we pulled some metrics, Kim pulled them for me. The last normal year in spring, let's call that 2019, although as we said, I don't know if there's ever a normal year. Our factoring business had 4,360 new client applications, those have been some small clients, some large clients, et cetera. In 2021, we had 10,766 applications. The ability to take market share when you're seeing a lot of apps flow through, people are moving, new entrants are coming, that's when you go get market share, right? It's an easier time to do it. In 2024, and this is why I would argue, I'm not going to use the term freight recession as a crutch anymore but I do need you to understand what the freight market is, 2,835 applications. And I would even question, of the 2,835 applications, I promise you, some of those are fraudulent, those are bad actors who are buying MC numbers and trying to penetrate the system. Just because we know that, we see it that fraud and that's again why our data is so valuable is to protect against that. But it also tells you that the small -- like the animal spirits that leads a trucker to leave some other form of employment and start a new carrier does -- isn't yet here. It's not -- the value proposition relative to the risk is not here. Will that change in 2025? We all hope so. But as we sit here today, it hasn't changed. When that market starts to turn, we're going to be aggressively marketing in that market. C.H. Robinson is going to be aggressively marketing in that market. There are other talented competitors. And you'll start to see that, I think, pull through to our numbers. I genuinely do. So yes, to pick up 1% market share in a year, I'd be disappointed if that was all we did. We're not going to double it in a year but I certainly think we'll do better than adding 1%.
Joe Yanchunis: And then just a point of clarity, that C.H. Robinson factoring volume that they're going to generate that will be additive to your invoice purchases as -- that will flow through your factoring business. Is that the right way to think about it?
Melissa Forman: Yes, that's the way we think about it, and all of the factoring as a service invoices will show up on the factoring division.
Aaron Graft: Now it sits on our balance sheet. So Kim and her team are responsible. We have to think about the credit exposure is ours, all the things we do for our regular factoring business, we will do there. And so yes, we'll call it out for you, right, I think -- and that's the plan. And we'll show you what percentage of the volume is coming through a FaaS channel but it will all go into that revenue that shows up in our factoring segment.
Operator: And there are no further questions at this time. Thank you.
Aaron Graft: Thank you all for being with us. Have a great day.